Operator: Welcome to TTEC's Second Quarter 2022 Earnings Conference Call. I would like to remind all parties will be a listen-only mode until the question-and-answer session. This call is being recorded at the request of TTEC. I would now like to turn the call over to Paul Miller, TTEC's Senior Vice President, Treasurer and Investor Relations Officer. Thank you, sir. You may begin.
Paul Miller: Good morning and thank you for joining us today. TTEC is hosting this call to discuss its second quarter financial results for the period ended June 30, 2022. Participating on today's call are Ken Tuchman, TTEC's Chairman and Chief Executive Officer; Dustin Semach, TTEC's Chief Financial Officer; and Shelly Swanback, Chief Executive Officer of TTEC Engage. Yesterday, TTEC issued a press release announcing its financial results. While this call will reflect items discussed within this document, for complete information about our financial performance, we also encourage you to read our second quarter 2022 quarterly report on Form 10-Q. Before we begin, I want to remind you that matters discussed on today's call may include forward-looking statements related to our operating performance, financial goals and business outlook, which are based on management's current beliefs and assumptions. Please note that these forward-looking statements reflect our opinions as of the date of this call, and we undertake no obligation to revise this information as a result of new developments that may occur. Forward-looking statements are subject to various risks, uncertainties and other factors that could cause our actual results to differ materially from those expected and described today. For a more detailed description of our risk factors, please review our 2021 annual report on Form 10-K. A replay of this conference call will be available on our website under the Investor Relations section. I will now turn the call over to Ken.
Ken Tuchman: Thank you, Paul. Good morning, everyone, and thank you for joining us today. Our results for the second quarter exceeded our revenue and profit expectations as we continue to make meaningful progress on several of our key initiatives. For the quarter, bookings were $170 million, revenue was $604 million and adjusted EBITDA was $84 million, reflecting our planned increase in growth-oriented investments. And we signed 26 new clients in our Digital and Engage business units. Shortly, Shelly will provide an update on the business, and Dustin will share financial details. I'll focus my comments today on our progress with our strategic priorities. We understand that the current dynamic macro environment is top of mind for everyone. For our part, we remain highly confident in the enduring strength of our business. Our digitally enabled customer experience solutions continues to deliver the business outcomes, our clients need most. Our ability to help companies and government entities attract, retain, serve and grow profitable customer relationships remains mission critical in any economic cycle. In a strong economy, consumers are bombarded with options. They choose brands that differentiate with personalized, engaging and effortless experiences. In a challenging economy, however, consumers become more selective and discerning. They spend their precious dollars with fewer highly trusted brands that consistently treat them with compassion and respect. We've seen this time and time again, companies that devote resources to strengthening their customer experiences in a challenging economy are in a far better position to retain their customers for the long run. Over the years, we've created a highly differentiated platform that blends best-of-breed customer experience technology with exceptional operational delivery. We built trusted relationships with over 760 global brands and public sector entities, and we've diversified our business across industries, capabilities and geographies. Our strategy remains steadfast. We will continue to expand our geographic footprint, innovate new digital CX solutions, deliver superior services to our clients and invest dollars wisely for the future. Now I'll provide more detail on our progress with several of our key strategic pillars. Let's start with technology innovation and differentiated IT. The total addressable market for customer experience technology and services is greater than $115 billion. As a one-stop shop for CX transformation TTEC Digital operates at the heart of this massive market opportunity. With our comprehensive suite of strategy, analytics and technology solutions, we take a consultative approach to addressing the full range of digital customer experience business challenges that the market faces today. Our CX transformation platform is supported by strong partnerships with several technology leaders, including AWS, Cisco, Genesis, Google, and Microsoft to name a few. Our position is a technology agnostic partner with dedicated practices across all the premier CX cloud platforms, puts TTEC Digital in a class all of its own. Here are a few highlights from the TTEC Digital ecosystem this quarter. Last month, Microsoft expanded its CX footprint with the launch of their new Digital Contact Center Platform. We're proud to be chosen as the strategic launch partner and are currently implementing the platform with several of our Microsoft clients. We look forward to rolling out this transformational platform to new segments of the market soon. Cisco's move from premise-based platform to the cloud has accelerated multiple cloud conversion initiatives. Many of our Cisco clients are immense organizations that delayed move to the cloud for as long as they could. They have finally realized that the features and benefits enabled by the cloud are essential to their future. As these clients migrate TTEC has become the partner of choice to lead these complex, omni-channel cloud conversions. Our global AWS Connect team continues to be recognized as the market leader. TTEC was awarded the 2022 Contact Center Partner of the Year for the Australia-New Zealand region and as the largest Amazon connect partner in the world today. Our global practice is highly relevant to companies who are seeking CX expertise to unlock the benefits of AWS' flexible platform. As demand for digital transformation accelerates, we continue to build robust, best shore digital delivery capabilities. Overall, our TTEC Digital team in India has grown 57% over the last year. To further advance growth and optimize profit, we continue to pursue acquisitions that will expand TTEC Digital scale and scope. The next pillar in our strategy is deep industry verticalization. We have deliberately doubled down in verticals that are highly defensible, regardless of economic cycles, in particular healthcare, public sector and automotive, all of which are delivering strong results. In healthcare, year-over-year, we've made compelling progress across all our KPIs. Revenue and bookings both grew double digits in the second quarter as the size of the deals, velocity of the win rates and client net promoter scores continue to rise. Our deep industry expertise is creating opportunities with net new clients, as well as opening new lines of business within our embedded base. On the public sector side, last quarter, I shared our strategy behind our focus on government. The presidential mandate has put citizen centricity in focus and demand for CX transformation is now robust. Second quarter’s revenues grew 59% year-over-year driven by the acquisition of certain Faneuil assets. We expect the momentum and the vertical to continue to accelerate in the quarters to come. We have a long history in the automotive vertical, serving multiple clients across the globe. Digitization, increasing automation and new business models have revolutionized the industry, creating new challenges and opportunities to build engagement with customers. Revenue has grown 22% year-over-year in this vertical, as we continue to partner with multinational automotive brands to reimagine and digitize the entire automotive customer life cycle. Now I'd like to hand it over to Shelly to share her perspectives on the business.
Shelly Swanback: Thanks, Ken. And good morning, everyone. In my first 90 days here, I have been impressed with our broad range of CX strategy, technology and operational capabilities. And I'm very excited to take them forward. I've spoken with dozens of our clients. And one thing that comes through loud and clear is that they view TTEC as a true partner. Our clients’ trust us with our customers. They appreciate our strategic approach and depend on our high quality delivery and innovative digital CX capabilities. They value our agility, especially during dynamic times like these. With these trusted relationships firmly in place, we're well positioned to help our clients to continue to accelerate growth, drive profitability and also increase customer loyalty. In the second quarter, demand with our embedded base remain strong with a mix of wins across current programs and new lines of business. In our healthcare vertical, we branched out into several new areas with solutions and provider support, licensed pharmacy, clinical trials and consumer-directed health. In our customer growth services division, a global travel brand and international logistics company, and a fast growing enterprise SaaS technology provider, expanded their digital revenue generation contracts with us. And our TTEC Digital go-to-market team continued expansion of their work with a large national healthcare payer and preeminent regional hospital in addition to several other embedded base wins. Now let me share a few highlights from the 26 new clients who signed on with us this quarter as well. We added new logos across industries, including a premium high-end retail brand, a FinTech disruptor, an eHealth innovator, and a national fast casual restaurant chain. In the public sector, we had a very busy quarter. Our team initiated a significant back office contracts with a federal agency. In addition, our integration with the public sector contracts acquired through Faneuil in early April are well underway, including several significant wins with a state transportation authority. Our work here will leverage a broad spectrum of technology in front office and back office capabilities. The public sector pipeline continues to gain momentum and we look forward to sharing additional wins in the months ahead. Our healthcare and public sector verticals are robust and growing with the work largely delivered on shore. To provide clients with more options and to strengthen our margin profile, we're broadening our footprint with new near-shore and offshore locations. This quarter, we continue to diversify with expanded operations in Columbia, in Egypt, India, Greece, and South Africa. We closed several significant client deals this quarter, have a growing pipeline and plan to open up additional geographies in the quarters to come. Now looking at the current macro environment, as Ken mentioned earlier, our healthcare public sector and automotive verticals are delivering solid results. However, in a few verticals, we're seeing a recent shift in client behavior, including length and sales cycles and some moderation in growth related volumes in the second half of the year. These clients are currently operating with increased uncertainty and conservatism. We remain agile and ready to scale as their conditions change. Despite the recent shift we anticipate our business will grow in the high single-digits in fiscal 2022, excluding FX and pandemic related volumes. As we look ahead, I'm very excited about our path forward. We have a well-established client base with strong trusted relationships built on our operational strength and digital expertise. While maintaining an agile cost structure will continue to prudently invest in our business and move full steam ahead with our strategic priorities. We'll open up new geographies, grow our sales team with a focus on new logos and expand our portfolio of new digitally enabled offerings and value-added services that leverage all the capabilities that TTEC has to offer. And finally, we'll continue to build a passionate, diverse team of employees across the globe who come to work every day, dedicated to caring for our clients and their customers with empathy and compassion. I look forward to sharing our progress with you in the quarters to come. And now I will turn it to Dustin to share our financial performance.
Dustin Semach: Thanks, Shelly. Good morning. I will first address our second quarter results before providing more color on our updated full year 2022 guidance. We are pleased with our second quarter performance achieving many of our key metrics closing on a meaningful strategic asset acquisition, surpassing $600 million in revenue in the second quarter for the first time, representing double-digit top line growth of 10.8% over the same period last year on a constant currency basis. Taking it all together, amid a dynamic rapidly changing macroeconomic environment, we delivered a strong first half of 2022 as we executed against our key growth pillars. Our second quarter 2022 bookings were $170 million compared to $204 million in the prior year period. Our digital segment booking highlights include strong demand across our Genesys, AWS Connect and Microsoft Dynamics Cloud Solutions. In addition to increased sales conversions in our longstanding Cisco practice. In our engaged segment, demand was stronger across our core customer care and customer acquisition services. And from our more resilient public sector and healthcare verticals, travel and hospitality continue to do well given historic levels of pent-up demand in that sector. Our second quarter bookings included 26 new logos representing over $28 million in bookings, as well as six multi segment deals. I will address our second half pipeline and backlog in my outlook remarks. In remaining discussion on the second quarter of our 2022 results reference to revenues on a GAAP basis, while EBITDA, operating income and earnings per share on a non-GAAP adjusted basis. A full reconciliation of our GAAP to non-GAAP results is included in the tables attached to our earnings press release. Moving forward, we are using the term like-for-like basis to describe our revenue growth excluding the impact of foreign exchange translation and treating acquisitions as if we owned them in the prior periods. On a consolidated basis in the second quarter of 2022, revenue was $604.3 million, an increase of 8.9% and 12% on a like-for-like basis, excluding the impact of pandemic-related volumes. Organic growth was 1.9%. Adjusted EBITDA was $84.1 million or 13.9% of revenue, compared to $95.7 million or 17.3% in the prior year. Operating income was $61.2 million or 10.1% of revenue, compared to $78.6 million or 14.2% in the prior year. And EPS was $0.98, compared to $1.27 in the prior year. The strengthening of the U.S. dollar in the second quarter had a negative $10.5 million impact on revenue and a positive $2.7 million impact on operating income, primarily with our Engage segment. Our second quarter revenue performance was driven by the Faneuil acquisition, which we acquired in early April and increased volumes from our existing and new clients across both segments. Other revenue highlights include: a 59% increase in public sector, a 24% increase in EMEA, a 22% increase in automotive and an 11% increase in healthcare. I will now move to operating profit. We delivered operating profit for the quarter at the upper range of guidance. The decrease over the prior year reflects the reduction in higher-margin pandemic-related volumes compared to the prior year period, integration-related costs associated with the Faneuil asset acquisition and the incremental growth-oriented investments discussed in the past two quarters. Turning now to our second quarter 2022 segment results. Our digital segment revenue increased 8% to $116.6 million in the second quarter of 2022 over the prior year period. All organic growth, primarily led by our Genesys omni-channel cloud and Microsoft dynamics solutions. Furthermore, our AWS Connect and Cisco practices provided a meaningful contribution in the quarter and offer important diversity to our digital best-in-breed technology solutions. As Ken mentioned earlier, we are encouraged by the outlook in our Cisco practice. As we foster our long-term relationship and partner with them on their renewed focus to migrate over 3 million of their on-premise clients to their cloud-based CX platform. Our Cisco pipeline activity and conversion is increasing, including a large integrated CX infrastructure product sale last quarter with associated follow-on design, integration and operating services. Shifting to geographic expansion. We continue to aggressively build out and invest in our offshore delivery centers, which will continue to enhance our value proposition in the market and drive margin expansion over the long-term. Also, our expansion to EMEA is currently on track. Our recurring cloud and managed services revenue represented 54% of Digital’s total revenue. Our diverse systems integration services, which have a high attachment rate for supporting future upgrade and expansion engagements represented another 27% of total revenue. Operating income was $17.1 million or 14.7% of revenue compared to $17.1 million or 15.8% of revenue. Margins reflect the impact from remaining Avtex-related integration costs and incremental investments in CX leadership and engineering talent, sales and marketing and product and technology developments. Our Engage segment second quarter 2022 revenue increased 9.1% to $487.7 million over the prior year. 13.8% growth on a like-for-like basis, excluding the impact of pandemic-related volumes. While the Faneuil asset acquisition was the primary contributor to growth in the quarter, we delivered a meaningful broad-based increase in business-as-usual volumes across healthcare, automotive and travel. As shared last quarter, the underlying core growth is masked by the high contribution of pandemic-related revenue in the prior year period. Our embedded base continues its strong performance as demonstrated by Engage’s revenue retention rate of approximately 100%, excluding pandemic-related volumes, Engage’s revenue retention rate was 111%. Operating income was $44.1 million or 9% of revenue, compared to $61.5 million or 13.8%. Our Engage profit margin reflects the impacts highlighted in my comments on the total company results. I will now share some metrics related to our cash flow, liquidity and capital deployment before discussing our outlook. At quarter end, cash was $163.2 million with $934.7 million of debt, the vast majority of which represented borrowings under our $1.5 billion credit facility. Net debt increased $103.7 million to $771.5 million year-over-year as our strong cash flow generation was offset primarily by acquisition-related investments and capital distributions. Cash flow from operations was $77.6 million in the second quarter of 2022 compared to $63.1 million in the prior year. The increase was primarily a result of improved working capital efficiencies. Capital expenditures were $19.1 million or 3.2% of revenue for the second quarter of 2022 compared to $12 million or 2.2% in the prior year. Our normalized tax rate was 24.3% in the second quarter of 2022 versus 21.4% in the prior year. The increase is primarily related to a change in tax regulation related to PEZA, a special economic zone within the Philippines, jurisdictional mix of income and reduction in select international tax benefits. In February, the Board declared the next semiannual dividend of $0.50 per share, which was paid on April 20, 2022, to shareholders of record as of March 31, 2022. This dividend represented a 6.4% increase over the October 2021 dividend and a 16.3% over the April 2021 dividend. We remain committed to our capital distributions to shareholders through a semiannual dividend. Turning to our outlook. We are operating in an increasingly dynamic environment as we enter the second half of 2022. Driven by the macroeconomic environment, we have recently seen two shifts in client behaviors within certain verticals. First, late in the second quarter of many new and existing clients delayed purchasing decisions; second, while our health care, public sector and automotive and other verticals continue to perform well, our comms, media and entertainment clients and early-stage venture-backed hypergrowth clients became more cautious about their demand in the second half, as a result, moderated their volume forecast for the second half of 2022. Given these recent shifts in the dynamic environment, we are updating our guidance for the full year of 2022. We expect our revenue growth for the full year of 2022 to be 6.2% down from our prior guidance, driven primarily by FX and previously mentioned impacts within our hypergrowth and comms, media and entertainment verticals. Our revenue guidance for the full year of 2022 is 8.5% on a like-for-like basis, excluding the impact of pandemic-related volumes. We exited the second quarter of 2022 with a revenue backlog of $2.325 billion or 96.4% of our midpoint of our updated guidance. Our current pipeline is $1.95 billion, up 21% over the prior year period. We have streamlined our cost structure while still maintaining growth-oriented investments previously discussed, partially offsetting the profit impact related to the reduction in revenue. As a result, our EBITDA margin for the full year of 2022 will be 13.2%, down approximately 150 bps from our prior guidance. Net interest expense is estimated to increase in the second half of 2022 reflecting in higher borrowing levels related to the Faneuil asset acquisition, in addition to the Federal Reserve’s more aggressive, front-loaded step-up in short-term rates in an effort to combat high inflation. Our tax rate range is revised from 21% to 23% to 22% to 24%, reflecting recent changes in the tax regulations related to the PEZA, an economic zone within the Philippines. Turning to the midpoint of our 2022 guidance, including Faneuil assets as outlined in greater detail in our second quarter earnings press release, we expect GAAP revenue of $2.414 billion, an increase over the prior year of 6.2% and 7.7% on a constant currency basis. Non-GAAP adjusted EBITDA of $320 million, a decrease of 9.8% over the prior year and 13.2% of revenue compared to 15.6% in the prior year. Non-GAAP operating income of $244 million, a decrease of 14.7% over the prior year and 10.1% of revenue compared to 12.6% in the prior year. Non-GAAP earnings per share of $3.53, a decrease of 23.6% over the prior year. The step up in net interest expense and tax outlook are driving an outsized impact relative to the decline in operating income. Other relevant guidance metrics include: capital expenditures between 3% and 3.2% of revenue, of which approximately 65% is growth oriented. A full year effective tax rate between 22% and 24% and a diluted share count between 47.4 million and 47.8 million. Please reference our commentary in the Business Outlook section to our second quarter of 2022 earnings press release to obtain our expectations for the third quarter and full year 2022 performance at the consolidated and segment level. In closing, we are helping organizations across the world to deliver value-added outcome-based customer experiences through our digitally enabled CX technology and service solutions. The platform we have built, the investments we are making, the client relationships we have developed and our talented leadership and teams position us well to navigate the dynamic environment ahead of us. Thank you for your continued interest and support of TTEC. I will now turn it back over to Ken.
Ken Tuchman: Thanks, Dustin. In closing, I’m excited as ever about TTEC’s future. I’m confident working with Shelly and our leadership team that we’ve created a solid plan to drive our vision forward. In the months ahead, we will continue to expand our footprint and offerings, evolve our go-to-market strategy, deploy capital to make organic investments in strategic acquisitions and provide early returns to our shareholders in the form of dividends. While the updated guidance reflects some of our clients’ uncertainty, our past experience tells us that client volumes will recover as their visibility improves. With a strong foundation and a differentiated value proposition in place, we’re well positioned for future growth, and we remain committed to doubling our business within the next five years. On behalf of our executive leadership, our Board and our amazing team across the globe, thank you for your continued support. Thank you, and back to you, Paul.
Paul Miller: Thanks, Ken. As we open the call, I ask that you limit your questions to one at a time. Operator, you may open the line.
Operator: Thank you. [Operator Instructions] Our first question is from the line of George Sutton of Craig-Hallum. You may now ask your question.
George Sutton: Thank you. Ken, you were the first one to confidently and correctly suggest months ago we were in a recession. So I appreciate your view of the future. And in your prepared comments, you mentioned slower decision-making by clients and lower spend by growth clients, what forward-looking indicators might change those dynamics in your view? And if I could add that if CPI came in surprisingly low this morning, would that help?
Ken Tuchman: Good morning, George. Look, my personal opinion, and I’m not an economist, but I’ve been saying this to our team is over the last, call it, 30 days, what we’ve seen is a bit of a deer in the headlights across the whole kind of Global 1000 companies out there. And when I talk to my friends that are CEOs of much larger corporations than TTEC, they all are saying the exact same thing. And so what we find in these periods of time because it’s – obviously, this is not by any stretch of the first recession that I participated in is that it’s very common for companies to correctly and temporarily over-rotate and then once they begin to get visibility and see what their volumes are, they course correct. That creates to be very frank, challenges for us because we do a fair amount of financial service work with licensed employees, fair amount of health care work with licensed employees. We have thousands of them. And as you can imagine, the training cycles on those employees is pretty significant. And so consequently, on many of the verticals, we can, in fact, respond very rapidly and within 72 hours, be increasing staff requirements, et cetera. But on some of the verticals, it’s not so easy due to the fact that there is a lead time in the recruiting and training and onboarding and nesting, et cetera. So what I would just say to you is that it’s my opinion that this kind of what I’ll call cloudy period that we believe all companies are experiencing right now where they’re trying to understand what their volumes are going to be, what their forecasts are going to be, et cetera. They’re naturally going to be conservative, and they’re naturally going to in various different consumer verticals are going to take a very conservative approach. And that’s what we’ve experienced. And we just made the decision as a team that we would rather be upfront and lay it all out there as we see it today versus kind of depth of 1,000 paper cut, so to speak, quarter-by-quarter. And so this is why we’ve taken the position based on kind of the forecast and lack of forecast that we’re seeing from a multitude of our clients. And frankly, we’re seeing this in every geography. It doesn’t matter if it’s Europe, it doesn’t matter if it’s North America, Latin America, et cetera. Due to all these kind of – I’d like to say exogenous factors of rapid inflation, et cetera. The part though that gives us quite a bit of comfort is, we still feel like the consumer is strong. And so we’re hopeful that they have over rotated, and we’re already seeing signals with multiple clients who have actually brought their forecast down and then came back to us two weeks later and said, you know what, we are asking you now not to bring the forecast down as much as we’ve told you, due to the fact that we’re beginning to feel more confident in our future. So, I think it’s going to be unfortunately, for us, this is going to be a week-by-week type thing. And therefore, we think taking a conservative approach makes the most sense. As far as the numbers that are going to come out today, I don’t know that it’s going to have much of an impact per se. I think that if we see a 9% inflation number, I think that’s going to, in some ways spook...
Dustin Semach: They came out very favorable, just so you’re aware, much lower than expected.
Ken Tuchman: Great. Okay. Good. Well, then maybe the Feds aren’t going to raise the rates another 100 bps, and it will be something less. So anyway, I hope I answered your question. I’m sorry if I battled on too long.
George Sutton: Appreciate the perspective.
Ken Tuchman: Thank you, Geroge.
Operator: Thank you. Next question is from the line of Maggie Nolan of William Blair. You may now ask your question.
Maggie Nolan: Hi, thank you. Maybe building up on that question a little bit regarding your revised guidance. Is it reflecting just the volume reductions that you’ve seen so far as of today? Or is there an expectation or a buffer built in for potential future reductions?
Dustin Semach: Hey Maggie, this is Dustin. Right now, today, is our outlook, there is a buffer kind of built in right now for expectations of how the second half will play out. And that’s just due to some degree, going back to the comments we made earlier in the script around some of the uncertainty that we’re experiencing right now and our clients are experiencing about their own second half demand. But just as a reminder, going beyond that, there’s – we’re seeing this in pockets. If you look at some of our other verticals, whether it’s health care, automotive, public sector, there are areas that continue to be strong and they’re resilient right now relative to the macroeconomic backdrop.
Maggie Nolan: That’s helpful. And then have you noticed any level of increase in demand, specifically for your offshore offerings? And how is that kind of performing versus maybe some of the more onshore initial options?
Dustin Semach: Yes. So a couple of comments I would make there. We are seeing an uptick. If you go back to some of Shelly’s comments in the script, we are pleased to see a number of new clients sign up in some of the new geographies, kind of showing some of the green shoots in our new geographic expansion, particularly within Engage. Then on Digital, Ken mentioned this roughly 60% increase in India year-over-year in terms of head count. And we’re seeing a huge uptick there that’s affecting not only top line, but increasing our demand specifically – excuse me, increasing margins, but specifically within areas like our Genesis practice as well as our Microsoft practice.
Maggie Nolan: Thank you.
Operator: Thank you. Next question is from the line of Mike Latimore of Northland Capital Markets. You may now ask your question.
Mike Latimore: Thanks, good morning. Maybe, Dustin, can you give a little view into the – how you’re thinking about gross margin here in the second half of the year, and how that might play out with softening – a little softening demand as well as just kind of the tight labor market?
Dustin Semach: So if you look at our updated guidance overall, what I would tell you is gross margins are right now kind of planned to be expected in the same range they were in Q2, and that will play out in the second half as well. So at this point, as we mentioned beforehand, relative to inflation and wages, we feel pretty good about where we’re at from a contractual perspective and managing that through the back half of 2021 and kind of coming into 2022. So, we feel good about where we are from a contraction perspective and the underlying wage we’ve contracted that and our overall pricing. And so we don’t see that as a crunch per se relative to gross margins.
Mike Latimore: Got it. And then assuming we are in a little bit of a recessionary environment, does that make it more or less likely that you would pursue acquisitions here?
Ken Tuchman: I think that it goes without saying that we're going to continue to be opportunistic, and we're going to look at acquisitions that drive all of our strategic pillars forward. And you can plan on that any acquisitions that we'll do will be properly accretive and will make sense. So what I would say is that we think that a bit of the reset in the market as far as other companies’ valuations simply creates that much more opportunity for us.
Mike Latimore: Okay. All right. Thank you.
Ken Tuchman: Thank you.
Operator: Thank you. Next question is from the line of Bryan Bergin of Cowen. You may now ask your question.
Unidentified Analyst: Hi, it's actually Jared on for Bryan today. So it looks like headcount was down sequentially. What drove this reduction? And are you expecting further headcount reductions over the rest of fiscal 2022?
Dustin Semach: So this is – so Jared, I appreciate the question. Dustin speaking, a couple comments here. This falls the seasonality kind of in line with our overall business. And what you would typically expect is due to some of the smart seasonal work we have that goes on the back half of Q4 2021, as it comes in, you'd naturally see a down tick in headcount kind of in Q2, and you'll see it ramp back up in Q3. And as a reminder, Q4 is typically our strongest quarter for our ending headcount. And right now we're in the process, if you look at Q3 overall, this is when our health care smart seasonal work will begin to ramp. And we're in the process of doing that right now as we speak.
Ken Tuchman: And this has been a trend for the last probably 15 years, just FYI.
Unidentified Analyst: Got it. And then in terms of the pull back and client decision making, is that primarily within Engage or does that also encompass digital as well?
Dustin Semach: So on the decision-making, we're seeing that candidly across the board. And so what you're seeing – again, it's just – right now, this point is more of a delay, a couple comments I made in the script. If you focus on, if you look at our pipeline overall, it's actually up 21% year-over-year. So as a broader pipeline statement, demand is strong. But it's just a delay in purchase decisions, but it is across the board. And when you see it in digital, I would say it's much more related to kind of short-term professional services work and then Engage is in the verticals that we outlined earlier before.
Ken Tuchman: Yes. The other thing that I would say regarding our pipeline that we're feeling really actually quite good about is that we made the intentional decision the beginning of this year that we were going to ramp up our sales and marketing focus and activity for offshore and nearshore which is why you've seen us announce more offshore markets et cetera. And so our goal is to significantly over a period of time increase the percentage of our business that's offshore to obviously drive higher margins, et cetera. So what I would say to you is that we feel pretty good about the pipeline, not only being up over 21%, but that the mix of the pipeline is reflecting the direct energy that we're putting into increasing our offshore, nearshore capabilities.
Shelly Swanback: And I would just add, in particular, with new logos, right? This is about adding offshore, right. So…
Dustin Semach: Next question?
Ken Tuchman: Does that answer your question?
Unidentified Analyst: Yes. Thank you.
Operator: Thank you. Next question is from the line of Anja Soderstrom of Sidoti. Your line is now open.
Anja Soderstrom: Hi, and thank you for taking my question. So given the delay, that's sort of softening your outlook for 2022. How should we think about 2023 and beyond?
Ken Tuchman: At this point in time, we made the decision that we're not going to comment on 2023. We think that it's far more responsible for us to continue to execute and get far more visibility so that we can, as we always are, be very transparent and make sure that we're giving proper solid guidance.
Anja Soderstrom: Okay. Thank you. That was helpful for me.
Ken Tuchman: Thank you.
Operator: Thank you. Next question is from the line of Vincent Colicchio of Barrington Research.. You may now ask your question.
Vincent Colicchio: Yes. I'm curious amongst your new economy clients is part of the weakness there due to funding issues with any of them?
Dustin Semach: Hey, Vincent. It’s Dustin speaking. So absolutely across the board, I would say is you break down hypergrowth clients, you can put them in two different buckets. And as we commented specifically, it's part of the reason we pointed towards early stage venture backed where what we've seen is in the past, these customers are kind of going for growth at all costs, right? And not necessarily being cash flow negative and not being profitable. What you're seeing is this dramatic shift when those particular customers where they are going back now for profitable growth. And so making some of these decisions right now in the short-term they're impacting – they're impacting our overall outlook.
Ken Tuchman: No. But what we're also seeing on the hyper growth side is that the larger, more established and either near cash flow positive or already cash flow positive, they're actually up ticking and they're actually continuing to show really good growth. So it's a bit of a – it's a bit of a tale of two cities, so to speak in that you've got these unicorn highly funded venture back companies. They're the ones that I would say are seeing the most extreme cutbacks and pullbacks and cost cutting et cetera. And then you have the other side of that, which would be the very large hyper growth companies that are actually doubling down and are growing and increasing.
Vincent Colicchio: And then on multi-segment deals, I think you said you did six, that was flat, I think with last quarter. Did that meet your plan and do you expect to continue to make progress there in the second half despite the headwinds?
Ken Tuchman: We do? Yes. So again, we continue to call it out. We'll continue to focus on what we call a 1 TTEC go-to-market motion, kind of leveraging best of the capabilities of both of our segments; those stick stills that we did. Again, we'll continue to make progress in the second half, and it continues to be a focus point for us overall.
Vincent Colicchio: That's it for me. Thank you.
Ken Tuchman: Thank you.
Dustin Semach: Thank you.
Operator: Thank you. Next question is from the line of James Faucette of Morgan Stanley. You may not ask your question. Excuse me, James. You may now...
James Faucette: I'm sorry. Working my headset here. Wanted to dig in quickly on that comment. Can you talk a little bit about the types of verticals in the hypergrowth segment on those new customers or on those new economy customers? Excuse me.
Dustin Semach: So is the question...
Ken Tuchman: So James just to clarify, are you talking specifically where we're kind of seeing some pull back in volumes?
James Faucette: Yes. Just give on those hyper growth that are being impacted like what verticals are they in? And like – and are they – do they, any of them fit into what Ken described earlier where they're adjusting pretty quickly there and revising their views and even wanting to come back?
Ken Tuchman: Well, first of all we're not suggesting. None of these, these clients aren't per se going away.
James Faucette: That's right.
Ken Tuchman: They're just dramatically reducing their volume forecast. So whether it be, I really can't use account names, but mattress companies or whether it be prepackaged meals or whether it be some exercise companies et cetera, their investors are let's just say forcing them to tighten their belt and therefore that means they're spending less on advertising, which means they're getting less response, which then reflects directly on the volumes that that we see. So – and there's really, there should be no surprise when you just look at what some of the big companies, again I don't want to mention names that are publicly speaking about their advertising revenues publicly speaking about just where clients' heads are at et cetera, et cetera. And so it's really just a trickledown effect. That said I want to distress that we still feel that the consumer is strong. The job market is obviously still very tight and consequently there's more people entering the labor market as they come off of the free money, whatever you want to call it giveaway and so more people are entering the job market. And so we think this is a very unusual/weird recession in that. On one hand you've got inflation and you have high interest rates and on the other hand, you have extremely low unemployment. I've been through at least five of these cycles. This one is pretty unique, and frankly, it's why we're not all that concerned by it, and we kind of feel internally like this will not be anything like the 2008 recession.
Dustin Semach: And just to follow on to that point, Ken, a couple of things I would say. One is, just to reiterate what Ken said, look, this is not – it's driven by volumes and not by customer churn. The second point that I would make is despite this reduction even in hypergrowth, we still expect that vertical to grow double digits for full year in 2022. And just as a reminder, and go back to the overall guidance is that even despite the takedown, we're growing roughly 8.5% on a like-for-like basis, excluding the pandemic-related volumes.
James Faucette: Yes, yes. And then I wanted to follow up on another question you were being asked about onshore versus offshore. Just wondering if you can give a little more color or nuance into if that dynamic is impacting your updated outlook at all or to what degree you've taken that into account? Or is that – just wondering like how impactful that really is right now?
Ken Tuchman: It's not tremendously impactful, but it goes without saying that net new clients that we put offshore operate at a smaller revenue base on a per client workstation basis. So from a revenue standpoint, you obviously have to sell more to drive the growth. But from a profit standpoint, you're driving in many cases, close to double the profit.
James Faucette: Got it. That’s great color. Thank you very much guys.
Ken Tuchman: Thank you.
Operator: Thank you. Last question is from the line of Jason Kupferberg of Bank of America. Your line is now open.
Unidentified Analyst: Hi guys. This is Cathy [ph] on for Jason. First, I just wanted to ask on the quarter itself. It seems like you guys delivered a pretty sizable beat to margins. And it sounds like you're still investing and building up a geographical footprint. So just wanted to know like what drove the upside on adjusted EBITDA margins relative to your expectations that you set in 1Q? Thanks.
Dustin Semach: Yes. So a couple of things, Cathy first, thank you for the question. And you're right, we did come up at the upper end of our overall range, largely driven by our execution within delivery as well as, as we mentioned earlier, kind of in our outlook in anticipation, we've also been streamlining our cost structure, which drove an overall benefit to the bottom line.
Unidentified Analyst: Okay. Got it. And then I also wanted to ask on the 26 new client wins that you called out. Is there any difference in the size or scope of the project versus like previous clients that you had signed before? And I just wanted to ask if that was baked into the 2022 guide, if there's any impact there. Thanks.
Dustin Semach: So no impact on the 2022 guide, in the sense that all – everything that happened in the quarter, who we saw and our expectation for the second half, from a sales perspective, is kind of baked into that. That's much more of a statement and a positive statement about how that could potentially impact 2023. No difference in terms of overall size relative to average deal size, et cetera. As we mentioned about $28 million of bookings for the overall 26 clients, but it does speak to the strength of our acquisition motion, our ability to attract new clients across both segments, which we're very pleased with.
Unidentified Analyst: Got it. Thank you.
Ken Tuchman: Thank you.
Dustin Semach: Thank you.
Operator: Thank you for your questions. That is all the time we have today. I will now turn the call back to Paul Miller.
Paul Miller: Yes. Thank you, operator, and thank you all for your participation. This concludes our second quarter earnings call. Bye-bye.
Operator: This concludes TTEC's Second Quarter 2022 Earnings Conference Call. You may disconnect at this time.